Operator: Good evening, ladies and gentlemen. Thank you for standing by. Welcome to the TransForce Fourth Quarter 2017 Results Conference Call. At this time all participants are in a listen-only mode. Following the presentation we will conduct a question-and-answer session, instructions will be provided at that time for you to queue up for your questions. [Operator Instructions]. Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded on Tuesday, February 20, 2018. I will now turn the conference over to Alain Bédard, Chairman, President and CEO. Please go ahead.
Alain Bédard: Well thank you operator and thank you everyone for joining us on this evenings call. So we released our fourth quarter 2017 results today and if you need a copy please visit the Investor Relations section of our website. 2017 was a year of strong progress on our main initiatives at TIF International. Overall we are most focused on creating shareholder value, unlocking it for our investors and then returning excess capital to our shareholders as appropriate. On a more granular level this means many things, we look to drive operating efficiency and strive for an asset like business model. We seek accretive bolt-on acquisition in a disciplined manner and we maintain a strong balance sheet to remove such as last year's strategic sales and leaseback transaction. I'm pleased to report we generated 376 million of free cash flow from continuing operations during 2017. In terms of allocating this capital all year long we worked on reducing that which furthers our ability to be nimble in the marketplace and we also returned cash to shareholders. During the fourth quarter alone we paid 17.1 million in dividends and repurchased 13.6 million worth of shares. TIF performed well during the fourth quarter with the exception of our U.S. TL where we are optimistic that the attentions we paid to this segment has set the stage for a turnaround. So let's discuss our specific results. Our revenue from continuing operation before fuel surcharge grew 2% to 1.6 billion. Our operating margin of 6.3 compares to 6.7 the year earlier with the decrease mainly due to our U.S. TL operation. However, our adjusted net income from continuing operation was 54.6 million up 4 million over the same period last year which equates to $0.60 per diluted share. This is an 11% increase over Q4 last year. Our segment by segment basis starting with TL, Canadian operations remain strong while the U.S. operations remain weak for the quarter. Revenue before fuel surcharge of 480 million compares to 461 million a year earlier. The increase is attributable to CFI and other acquisition that contributed $56.3 million in the fourth quarter. Operating income was 22.7 million or 4.7% of revenue before fuel surcharge as compared to 29 million or 6.3% of revenue before fuel surcharge last year. Turning to package and courier our focus on optimal business mix, customer selection, and efficiency yielded its intended results. Our revenue before fuel surcharge of 317 million represents a decline of 7% while our adjusted operating income was 35.8 million, an 11% increase over Q4 last year. Our LTL segment, revenue before fuel surcharge of 194.8 million was up 7% over the prior years of 181.3 million. Adjusted operating income was 14.3 million a 7% improvement over the prior year's 13.3 million. This growth in operating income was a function of successful integration work and growth in our asset like LTL Intermodal business. The growth in operating income was particularly notable because it occurred despite the loss and the replacement of one of our U.S. LTL partner earlier in the year. At our logistics segment revenue expend 20% over the fourth quarter last year to 79 million mainly as a result of acquisition. Operating income however decreased 13% or 0.9 million compared to the fourth quarter of 2016 from 7.1 down to 6.2 due to higher carrying carrier rates, operating expenses, and amortization of intangibles. We're excited about the outlook for 2018 with the North American economy growth on the rise led by strong consumer spending that's driving a recovery in trade volume and rates. This inflection point should be most evident in our U.S. TL operation going forward. The improving demand environment directly benefits CFI revenue and cash flow growth. At the same time our intense focus on operating efficiencies, asset reservation [ph], and tight cost control should further lift our profitability. We are continually moving towards an asset like business model and one that focus on an innovative value added solution for our customers. Our acquisition strategy will continue to be disciplined and focused primarily on tuck in, immediately accretive acquisition. Our primary goal is to invest in high return on capital initiatives that maximize our already strong cash flow whether it's acquisition, debt reduction, share repurchase, or organic growth. I'll repeat that our mean priority is to create and unlock shareholder value and to return excess cash flow to our shareholder whenever possible. During the fourth quarter alone we returned 47.7 million to our shareholders including 30.6 [ph] million through share repurchase and 17.1 million in the form of dividends. I appreciate everyone joining us this evening and like to open the call for question. Operator.
Operator: [Operator Instructions]. Your first question comes in on line of Mona Nazir with Laurentian Bank. Your line is open.
Mona Nazir: Good afternoon and thank you for taking my questions.
Alain Bédard: Good afternoon.
Mona Nazir: So my first question just has to do with the CFI acquisition you've been very candid over the last few calls about the level of work and capital that you needed to invest in order to turn it around. When you purchased it was around the U.S. 115 million in EBITDA and then you stated that it came down to less than half of that. I'm just wondering looking at the acquisition now do you believe that most of the heavy lifting has been done, I thought there was new management there, customer right sizing, driver turnover, where are we sitting now on kind of a forward run rate? Thank you.
Alain Bédard: Well you see Mona I think that we've turned a corner over there in the U.S. I mean for sure the market in the U.S. is definitely going to be improving again in 2018 contrary to a difficult 2017 and 2016 markets for the U.S. TL guys. We have the right team there at CFI, we've got lot of freight. I mean when I look at the month of January it is very encouraging. These guys are really on the right track. As you know we've worked hard at reducing our cost, being more flexible, having the right freight mix it's the network. We've invested ton of money into the equipment so that our drivers have a most recent model that makes sense for them to drive with all the bells and whistles in terms of safety. So I'm very, very positive for 2018. CFI, what we've seen so far they've improved Q4 Q3 and so far what I've seen in Q1 these guys are on plan, okay, although it was not a very aggressive plan okay, but we've stated what we see in our U.S. TL from what we run in 2017 versus our plan. I mean it's a huge improvement and these guys are on plan and even better than the plan so far in January. Now a month if not a year, right, but I mean those guys are doing all the right things to be successful. Don't forget the culture at CFI has always been a culture of success. For the last 10 years the crew over there went through a lot of changes, they were owned by an LTL company, then they were owned by another company and then we bought it from this company about a ago. So they went through a lot of change, they went through a lot of storm, and now we're building a base of stability. This is why in Canada we want such a good ship is because we have stability, stability in drivers, stability in customers, stability in lanes, stability in freight mix. It's always easier to manage a business when you have some kind of stability where it was compared to the up and down that these poor guys have to go through for the last probably 36 months.
Mona Nazir: Okay, noted, thank you. And then just turning to the industry and what we're seeing and hearing from peers, contract pricing is up high single-digits, volume and the demand side of that equation is turning more positive, but then again driver wages are up over mid single-digits. I'm just wondering if you could speak to the flow through of such dynamics on TFI specifically and the sustainability from your perspective on the pricing and volume and with that are you still comfortable with the previous guidance that you provided of around 600 million for EBITDA?
Alain Bédard: Yeah, what we've seen so far Mona is that exactly what you said. I mean on the quality of revenue the freight rates are improving, the market is really, really tight, and the ELDs that were implemented early in the year are still not in full force. The U.S. economy is really, really strong. There's a lot of projects here in the U.S. so I feel very good about the quality of rates and then the quality of revenue in 2018. In terms of cost pressure you're absolutely right, I mean sure, drivers we've increased salary for our drivers during the year because we want to be very competitive with the rest of the industry, okay. But the most important thing for drivers is the rate per mile is very important but even more important than that is that they need the miles because the paycheck is the composition of rate per mile times the number of miles. So even if you give them a tremendous rate of mile if they don't have any miles they don't have any pay. So this is a combination of both things, you need the miles and the rates. And then you have stability because the guys earning is able to sustain his family.
Mona Nazir: Okay, that's perfect, that was very helpful.
Operator: Your next question comes from Kevin Chiang with CIBC. Your line is open.
Kevin Chiang: Hey, thanks for taking my question. Maybe I'll just turn to courier operations. I know you've had a little bit of I guess customer turnover there as you've looked to reshape that book of business, it looks like Wal-Mart is engaging in a more aggressive and even more aggressive e-commerce strategy. Just wondering how that plays into your e-commerce strategy over the next few years here and if you could attach any type of revenue growth or earnings growth we should expect out of your P&C business?
Alain Bédard: Well, that's a very good question Kevin because if you look at our Q4 numbers I mean the revenue is down and the revenue is down because we lost early in the year major accounts and €-commerce guide that switched sometimes in January of 2017. So this was why our revenue was down so much in Q4 because e-commerce is really busy in Q4 but at the same time if you look at the bottom line it's a huge improvement alright, because we're focused on highly profitable business. That's how we've always been focused. Now in terms of the other, the brick and mortar guys that you've been talking about we're very close with these guys. I mean we work very closely with them in Canada, we've been working with them for the last I would say year and half to two years. We've done great with them. In the U.S. it's always been difficult but more and more people are starting to understand in the U.S. not so much in Canada yet but in the U.S. that the last mile is the best system to be lean and mean in terms of costs. So we're very close with them. I mean we're starting to run markets for those guys as last mile e-commerce provider in the U.S. and I think this is just the start. I mean we were really good with the others e-commerce guys. As a matter of fact we did the Florida, California, and Texas markets start up for them. Well the problem is we are so good that they decided to move that in-house. Now this is what happened. We feel very good about our P&C business. I was looking at our month of January, we are ahead of plan, we're going through the roof there, it feels good.
Kevin Chiang: That's great color and then as you highlighted in your prepared remarks there's a focus within the organization to return cash to shareholders. We have seen a bit of a dislocation in your share price relative to your peers here, just thoughts on utilizing that for the buyback in the near term here and if there's any color you could provide that would be helpful?
Alain Bédard: Well you saw that in Q4 we bought close to 1 million shares. We bought back close to 1 million shares. My goal and I said it publicly I want to reduce the share count to 85 million, we are at 89 something right now. So for sure we're going to be active. The problem that I had in Q1 up to now is that I was in a quiet period and I didn't give any direction okay, before the quiet period. So I was not really active but as of Friday of this week we will be back if the price is attractive for us. For sure we're going to be -- here our goal is to reduce the number of shares and it's going to happen.
Kevin Chiang: That's helpful and lastly for me on the Q3 call you have provided some good color on some of the what I'll call non-recurring costs that you felt you were incurring in 2017 that shouldn’t repeat in 2018. I think they added up to something in the range of 60 million to 70 million. Is that still the right way to think about it that you should be at least rolling through 60 million to 70 million of nonrecurring costs at 2018 that provides a pretty good tailwind for this year's run rate numbers?
Alain Bédard: You know most of these costs that we talked about at that time was really attached to the CFI and TC operation in the U.S. As an example there was about $25 million more in depreciation versus our plan. There was the equipment, a lot of money was spent in the U.S. for the transition of the equipment. So these costs are gone. Severance, I mean it's a cost that so far we haven't seen too much but we will see more of the severance by the end of the year because as I said I think publicly that we're going to be investing a lot of dollars in a new hub in Calgary. We're also moving one of our facility in Vancouver. So there's going to be some changes there, some severance. That's the cost of improving your efficiency but all in all that's why I said I still feel that 600 mark for 2018 although I said the same thing for 2017 but we had a lot of unexpected things that happened to us in 2017. It's always the devil that you don't know that came back to bite us but we have a much better team in the U.S. now, much more solid, much more focused. And we've learned from our mistake and we're not going to make the same mistake twice I am telling you that.
Kevin Chiang: That's great color, thank you very much Alain.
Alain Bédard: You are welcome.
Operator: Your next question comes from the line of Fadi Chamoun with BMO. Your line is open.
Fadi Chamoun: Okay, thank you. Alain I want to go back to the truckload conversation a little bit. So, can you remind us kind of what is the revenue run rate now going into 2018 and kind of overall U.S. truckload and the opportunities that you have in terms of some of the contract renewal that might come up in the cadence, is it kind of H1 in the first you have the opportunity to reprice this business?
Alain Bédard: Yeah, well the run rate in the U.S. and U.S. deal for truckload and you'll see Fadi, as of Q1 we will be reporting U.S. TL separately because it's -- we want to show exactly what's going on and we're getting too many question because it's not being this slow. Okay, so as of Q1 of 2018 it will be reported separately. So to answer your question, so USD it's about a little bit more than 800 million now. This is ex-fuel or with fuel it's always the big question. So, I would say that ex-fuel at 10% you're talking about 800 U.S. Now in terms of the price increase, as you know 2017 was a difficult year for all the truckers. So what happened when -- it’s a difficult year. All the customers and they see that 2018 will probably be different, then they try to lock you up in a one year contract, two year contract, three years and I don't know of any truckers that are stupid enough to say two to three years but you are like forced then into a year contract unless you're spot guy. And most of the U.S. TL are not spot guys. Most are under agreement so contrary to our business in Canada where it is mostly a 30 day deal. In the U.S. I mean on average it's about a year. So to make a long story short is we have scaled over the course of the year so we have a little bit in Q1. We have more in Q2 and Q3 and much less in Q4. So, you should see the result. Already we're seeing at the results when we look at January. We will definitely see results in Q1 and Q2 and in Q3 on the quality of revenue, no doubt about that.
Fadi Chamoun: Okay, and I am guessing just backing into some of the numbers that the operating ratio right now in the TL and U.S. probably closer to 100, is there an opportunity to kind of get this down to the low 90 by the end of this year as we kind of engage in all these things or there is more to do with the fleet maintenance cost that has to come maybe after 2018?
Alain Bédard: Well, to give you a little bit of color like our Q1 last year was 106, okay, the combination of both of those two guys which is terrible. We believe that in Q1 of 2017 we're not going to be 100, we are going to be less than 100. Are we going to be 90, 91, 92, no because it's very difficult to turn 106 into a 92. But can we be like a high 90 or 98, 96, 97 I think that's a fair challenge for our guys.
Fadi Chamoun: Okay, it's helpful.
Alain Bédard: But that's Q1. So, over the course of the year by the better controlling costs and also improving quality of rates and all that can we end up the year better than the high 90, well like some guys will say we will see.
Fadi Chamoun: Okay, and what was the operating ratio for full year 2017 for the U.S. TL?
Alain Bédard: Full year is a little over 100.
Fadi Chamoun: Little over 100, okay. But that business should normally run in the low 90 I guess over some period of time, if you are middle of the pack, if you are not a star you are just the middle of the pack, you have to run between 90 to 92 on the van side on an average year. A stellar year we should be like closer to 90 or maybe even under 90, on a difficult year you could be like 94-95 but you can't be 100.
Fadi Chamoun: Okay, 405. Okay, and my second question is on the LTL in Canada. I mean the environment seems to be a little bit more positive this year I guess. I'm wondering do you see it kind of same way on your side as kind of organic growth gets a little bit stronger to this year or are we still in the kind of same mode of managing cost through…?
Alain Bédard: The situation [ph] in Canada is different. I mean as you talk to a guy that's really running an operation in Alberta and Saskatoon I agree. I mean those markets will be better in 2018. But if you're talking to a guy that runs an overload regional LTL in Ontario, Quebec, no, it is just going to get worse. So the way we are at TFI as we run three kinds of business so our intermodal business for sure the revenue should be up a bit but the bottom line will be up big time. On our transport LTL we are going to do well. We are going to do well and on the over the road in Western Canada we're going to do better than better improvement. We will improve more in Western Canada bottom line and a little bit of top line. But in the East Ontario, Quebec our volume will go down but our profit will go up. Because don't forget all these guys, all the LTL our largest customer are the brick and mortar guys in all and those guys are all suffering from the e-commerce. So if you're not in the P&C business and you are only a LTL guy in Canada good luck.
Fadi Chamoun: Okay, that is great. Thanks a lot.
Alain Bédard: Pleasure.
Operator: Your next question comes from the line of Turan Quettawala with Scotiabank. Your line is open.
Turan Quettawala: Hi, good evening Alain. I guess I was wondering if you could comment a little bit on the spin off or truckload, is that still sort of on the card and if your thinking changed in that at all?
Alain Bédard: Well Turan you know we're in business to make money and to create value for our shareholders. And the problem is that if you look at the valuation of TFI right now we're valued as a truckload company. Now people will say well, okay, are you the truckload guy, yeah, we are truckload guy for about 45% to 47% of our revenue. Okay, fine, so what about the rest. So the rest, is it more the same as a truckload company we know it's not. So this is why, to answer your question, this is always something that I got in the back of my mind and we will see how it goes. But our priority to you right now Turan, working with Greg and the rest of the team in the U.S. is to get this company on the right track. Okay, that's our main focus. Now we get into the fall of 2018 after two good quarters. Let's say Q1 and Q2, we see Q3 and then we look at this market and maybe we'll do something. I don't know, right now it's not my focus. My focus is with Greg. We got to show that we can turn this thing around in the U.S. and I'm convinced that it's going to get done. But it's a show me thing there, okay. So this is what we have to do first.
Turan Quettawala: Okay, great and I guess my next question, I was just wondering if you could, I know your commentary here sounds really positive like you are seeing LTL is doing pretty well overall, truckload is ahead of plan in the U.S., P&C is ahead of plan. Your EBITDA guidance is sort of around the $600 million mark, I mean are you comfortable that you would beat that this year…?
Alain Bédard: Too early, too early to say that. But maybe after two good quarters we'll be in a position to say yes, we can or no, we cannot. But right now it's too early.
Turan Quettawala: I mean what could go wrong though, right. I mean like pricing is good, demand is pretty strong overall in both countries, right?
Alain Bédard: Yeah, you are right. I mean all the ducks are well aligned but you cannot sell the fur of the tiger before you kill the tiger.
Turan Quettawala: Okay, fair enough, fair enough. That is fair, thank you. And I guess my last question on P&C, just wondering we've seen this a couple of times I guess in the past where things seems to be like obviously the last mile is the most difficult and the most expensive part of the whole e-commerce equation. Like what's the respect your pricing is going to continue to be under pressure here as retailers try to continue to reduce that pricing number on the last mile. Like how much pricing kind of discipline is there in that market?
Alain Bédard: Well, you know what it's something that is growing Turan. So right now to tell you that with my e-commerce guy I've got a lot of pressure, my competition is not the other guy, my competition in the U.S. has been the e-tailer that decided to do it themselves. So that's my competition. The other guys are just small guys. So yes, you got one major that was supposed to be sold and finally something happened. Doesn’t seem that he is going to be sold anytime soon but we don't have a lot of big competitors in that. The largest competitor is like this large e-tailer, okay. So price pressure, I mean us we are in business to make money. We're not in business to make two points. So if you look at our P&C we are improving. I said it three years ago we're going to be double-digit EBIT in that business and people were laughing, where are they now, and we're going to keep improving. Now true that our volume was down in Q4 because we lost that guy in Q4 with big volume but we still were able to make more money with less volume. So we are efficient, we are lean and mean, we are the tiger and don't forget the tiger is always the last one to survive in the jungle. So, e-commerce last mile it's a great business. We're just starting with the big brick and mortar guys in the U.S. We're just starting now so we will see what happens.
Turan Quettawala: Okay, great, that's helpful. Thank you very much Alain.
Alain Bédard: Pleasure Turan.
Operator: Your next question comes from Cameron Doerksen with National Bank Financial. Your line is open.
Cameron Doerksen: Yeah, thanks, good afternoon. I guess just a question on our free cash flow expectations for 2018, maybe you can just talk us through what you're thinking there and any I guess additional sale leaseback deals you're expecting to do in 2018?
Alain Bédard: Yeah, so if you start at the starting point let's say of our EBITDA and then our net CAPEX net of equipment disposal, not real estate. Real estate has nothing to do with that so net CAPEX in 2018 should be let's say around 150 and then our tax bill is probably cash tax, we're probably like around 60 million to 65 million. And then you're down to the interest and the interest should be probably like 45 million may be 46 million depending on what happens with the interest rate. So CAPEX and interest you're talking let's say 200 million. Tax you are 60 so let's say you are 260 million or 250 million so you are down to about 335 to 350. Now from there we also have to pay our $70 million dividend because we've increased it about 11% so you take that and then you're down to let's say to 250 and with 250 well we pay down debt. Now I think that we're going to be spending about $100 million in M&A so that means that the debt would be reduced by let's say 150 at the end of 2018 with $100 million invested in small tuck ins M&A. On the real estate side we believe that this is going to fetch about $100 million and this is the cash that will be used to buy back at least $100 million of shares. Okay, so the share buyback in 2018 will be funded by the real estate that we're going to be selling and if you look at our statements right now we've got I don't remember exactly the amount, we've already have asset held for sale in there and those are two properties that we already have a deal with a buyer that one or two will close either in Q1 or in Q2 of 2018. So, that is probably what's going to happen in 2018 on cash flow and use of cash.
Cameron Doerksen: Okay, no, that's great detail, appreciate that. Maybe the second question is more probably short-term. We're seeing I guess some challenges that the Canadian railroads are having right now and I'm just wondering how that might be affecting your business. I mean maybe there's a positive there because some of the railroads can't meet all their expectations from customers but also you have a deal with CN or partnership with CN on the LTL and they seem to be having some logistical challenges these days. I'm just wondering if you can maybe talk about what the near term impact might be from it?
Alain Bédard: You know Cameron we worked very closely with CN. I mean we're very close with them and for sure I mean we're going through some issues because our service is piggybacked on them, okay. But we're not in the blame game. We're in there to be successful so we protect our customers and we work with CN. And one thing is for sure, I think that we are lined up with the right partner long-term and like I said earlier are into more LTL, we will do even better in 2018. I mean we have a very aggressive management team there now. We're turning every rock, we're making a lot of improvements in ILTL. Same thing with the overall guys, so this is why I feel good that even with some areas of a shrinking market we're going to do way better in 2018. Don't forget that the LTL used to be a double-digit EBIT division. I'm not saying that now okay, but let's see what happens in 2018. We're not going to be double-digit in 2018 but we are putting to see to be back to where we were I would say like eight years ago.
Cameron Doerksen: Okay, very good. And maybe just one final clarification for me, just on the -- you mentioned that as of Q1 you're going to start reporting U.S. TL as a separate segment so that'll be a brand new I guess stiff segment to report excitement for you, is that correct?
Alain Bédard: Yeah, we have to show it because we want also to report all the different KPI that all the U.S. TL guys are reporting. Because U.S. analysts will definitely ask so this is why it's going to be available and we can't mix up KPIs of U.S. with KPIs of Canada because the costs are different, the operation is different. So we will have to separate that.
Cameron Doerksen: Okay, makes sense. That's good, that's all I had. Thanks very much.
Alain Bédard: Okay, thank you Cameron.
Operator: Your next question comes from a line of Benoit Poirier with Desjardins Securities. Your line is open.
Benoit Poirier: Good afternoon Alain. If we come back on P&C business I mean you mentioned that Q4 obviously you lost some volume down to almost 10% year-over-year but you seem quite confident about 2018 so I was just wondering if you have any expectation in terms of organic growth for P&C and also what is the remaining exposure to the big e-tailer and whether it represent some risk going forward?
Alain Bédard: Well with this big gain in U.S. I mean we are down to nothing. I mean the only market I think we have only two small markets, one in California right now and one in the Carolinas that we are still serving for them. So, from 75 U.S. we are down to probably 15 to 20 U.S. and most of it is lying out there we still do for them regionally. Now in Canada we do probably a little bit more than that with them. So we're servicing like Toronto, Vancouver, Victoria and we don’t service anything in Alberta and Quebec. But still we have a large share with them but it's -- you never know with these guys, you never know. So this is why we're remaining very cautious about that, this is why we've been working hard with other companies that have different mentality. So, we're very happy with the relationship that we have with other people and this is -- we will definitely grow. So if you ask me the question what do you think could be organic growth in P&C unless we lose again with these guys in Seattle, if this business stays steady with them then I would say that probably we're in line for 3% to 5% growth. Now guys will say yeah, but I mean the e-commerce is growing way more than that but us we are not growing e-commerce to make 2%. So, its again it's a question okay, so if you look at there was an IPO from a Chinese company that -- its philosophy is market, market, market share, market share, they don’t make money. And they just did an IPO in New York and it's crazy now. So I'm questioning myself is it the way to go or is it my way that we want to make 10 to 15 points. Is it the you have to grow the big market and nobody cares if you make money, well my experience with my investors is that when I don't make money or feel like my truckload in the U.S. they don't like it. Okay, so maybe I need a second life in order to build a company that has a huge market share, doesn't make any money but worth a lot of money. But for now so far we've always been focused on growing the business maybe not as fast as others but growing it profitably with a double-digit bottom line and the way we get that is because we're lean and mean and efficient.
Benoit Poirier: Okay, and looking at your truckload, could you break down the profitability between Canadian and the U.S. operation?
Alain Bédard: Well right now it's day and night. We ran 2017 with triple-digit OR, it doesn't make sense. But I am telling you, with Q1 and Q2 I think that on the van side those guys will be very close by the end of 2018 to what we do in Canada. So it's a show me thing so we will be talking about our Q1 at our annual meeting sometimes in April and hopefully we'll be in a position to show our shareholders and investors the progress that we have made in Q1 with our U.S. TL.
Benoit Poirier: And looking at the almost 85 million of EBITDA improvement in 2018 that you expect, I mean you were close to 515, how much would be driven by the U.S. TL and is this 600 million include some gains on asset disposal or exclude this item?
Alain Bédard: No, the equipment is always included like everybody else in the U.S. the equipment is always included. But the equipment this year is like we didn’t make a lot of money on equipment, I'm talking truck and trailer. Real estate is always out of there, it is not included in there. Real estate gain because we're going to make huge gain in selling real estate in 2018 and it is not included in our 600 million. But equipment trucks and trailers that we are selling although if you look at my Q4, I lost money in my truckload operation, nobody talks about that but I lost money. So that being said for sure the brunt of the increase in profitability from let's say the 515 that you're talking about to 600 for sure a lot of it has to come from the U.S. TL.
Benoit Poirier: Yeah, okay and tax reform Alain what we should be modeling going forward with the effective tax rate on a consolidated basis?
Alain Bédard: Well for us it is a wash. I mean we had a little bit of a gain here, little bit less there. So in your model besides the different income tax that went down by 70 some million dollars besides that for 2018 I would say it's a wash. So our tax rate is already like a 26% so there's not much that you can do. And I like to pay tax because when you pay tax you make money and right now with my U.S. TL I'm not paying any taxes whatever the rate is because I am not making any money.
Benoit Poirier: Okay, and your CFO Mr. Rumble will retire, we saw the announcement so could you talk a little bit about the CFO search process. I know that might be still early but any thoughts about the CFO search I mean?
Alain Bédard: Yeah, well we have a lot of good candidates and within the next six months we will be announcing who is going to take over. This is why we announced Greg's retirement more than a year in advance because Greg has got a huge responsibility within the company. He's also responsible for U.S. TL operation so it's important that we also come up with his replacement in the U.S. So, it's two guys that we need to find to do the job of actually one.
Benoit Poirier: And looking lastly on the logistics side where we saw some margin decline versus last year but you talked about the acquisition, I was just wondering if we should strip out any elements and also what kind of improvement you were looking for the logistic division going forward Alain?
Alain Bédard: Adjusting is always difficult when the market start to tighten up because truckers will ask for more money and this is exactly what's going on right now. So, all the brokers operation are suffering to a certain degree because the truckload guys are saying I need more money and then you have to get in touch with the customer and say hey, Mr. Customer the market has changed, we need more money. So there's a lag there. So this is why results were negatively affected in Q4. It's still going on now. It is still going on now because the prices in the U.S. huge pressure, tight capacity, a lot of customers are saying hey, I can't get any truck can you help me. So no, I mean so unless you pay a better rate I mean maybe I could find a truck for you guys but these kinds of rate that we have I got no trucks. That's why logistics has got a little bit of pressure right now.
Benoit Poirier: Okay, thank you very much for the time Alain.
Alain Bédard: Pleasure.
Operator: [Operator Instructions]. The next question comes from the line of David Tyerman with Cormark Securities. Your line is open.
David Tyerman: Good evening Alain. My two questions are on P&C. So, the first one as you have been running around 340 million to 350 million a quarter on revenue, is that the kind of level you expect or do you think you can grow it. I wasn't clear from the comment about growth on e-commerce, whether that will push the overall number up or whether we're kind of in that range for now?
Alain Bédard: Well, if you look at our revenue before fuel surcharge this year we were of close to 1.3 billion. And this is after a lot of cleanup that we did in Canada on our last mile which happened late in 2016. And it's also after the loss of that big e-tailer early January of last year. So God forbid we don't lose anything. Now from that point on we should be able to grow that like I said by 3%, 4%, 5%. So if you grow 3% on 1.2 billion that is some $30 million.
David Tyerman: Alright, okay, that's very helpful. And then the other question just on the margins in the business they were up a lot in the quarter, they were up a lot sequentially and versus the margins we've seen in the business for quite some time. Was there anything that caused them to jump so much in one quarter and is this sustainable?
Alain Bédard: Yes it is. Wait till Q1. I mean I've said it many times guys. I mean we are focused on cost and efficiency at TFI and we made some changes in our last mile division in Canada. We let go the guy that used to run it in the fall of 2016 because this guy's culture was about volume and not bottom line while he kept on saying he wanted to do 10 points but then walked the thought. So that guy has been gone and the guy that took over he had a fantastic Q4 and when I looked at his month of January I just fell off my chair. I said Gee-whiz. So it is the team and the focus now as I was saying earlier maybe I should talk to my guy and say give me more market share and less profit as a percentage. But our culture is that we are in business to make money, we are not in business just to practice delivery, okay. So, no there's nothing special and don't forget that if you look at my severance we got lots of severance. Well, the only reason we have severance is because we're investing in equipment because we're doing the same work and more with less people. Okay, so we have the huge hit for the severance but then we get the benefit for the next 10, 15, 20 years, okay. And still in P&C and in LTL you will see severance again this year because we are building for the future.
David Tyerman: Okay, so you could actually even do better as that comes down at some point. So what you think it is better in 2018? So when we're thinking about it from a quarterly standpoint when you say January was very good we should still expect some kind of seasonal decrease though I would imagine?
Alain Bédard: Yeah, but what I'm saying is that P&C into 2018 will definitely do way better, way better. I mean they will improve by 50 basis point. If you look at their operating margin for the year I mean we're just shy of 10, okay with depreciation of intangible and all that. In 2018 we will be double-digit clearly with the depreciation of intangible.
David Tyerman: Right, okay but Q4 was a lot higher than just over 10, could you do 11 for the year?
Alain Bédard: We will do 11 for the year.
David Tyerman: Okay, that's very helpful, thank you very much.
Alain Bédard: Okay, pleasure.
Operator: There are no further questions at this time. I will now turn the call back over to the presenters.
Alain Bédard: Well thank you everyone for your interest in TFI International. So, well I guess we'll see you in a few months and talk about our Q1. So, thank you and have a great evening. Bye.
Operator: This concludes today's conference call. You may now disconnect.